Operator: Good day, ladies and gentlemen, and welcome to the Quanex Fiscal Third Quarter 2013 Conference Call. [Operator Instructions] During today's conference call, company management may make forward-looking statements about the future prospects of Quanex Building Products. Participants should refer to the company's 2012 Form 10-K filed with the SEC for more complete forward-looking statement disclosure. Additionally, the company may refer to non-GAAP figures throughout today's call. A reconciliation to the most comparable GAAP figures is included in the company's most recent earnings release, which is available along with the company's Form 10-K at the company's website at www.quanex.com. Last, participants as a reminder, today's conference is being recorded. I would now like to turn the conference call over to Mr. Bill Griffiths, Chairman, President and CEO of Quanex building products for opening comments. Please go ahead, sir.
William C. Griffiths: Thank you. Good morning, and thank you for joining us for the third quarter conference call. It's a pleasure to speak with you today and I look forward to meeting many of you in person during the coming months. On the call with me this morning is Brent Korb, our Chief Financial Officer; and Marty Ketalaar, our Vice President of Treasury and Investor Relations. Before we get into the details of the quarter, let me take a moment to provide some observations after my first 60 days on the job. Since joining the board in 2009, I've been very involved and supportive of the strategic direction of Quanex. Therefore, you should not expect to see dramatic shifts in strategy as a result of the recent leadership change. What you will see is a more focused effort on those specific tactics that will grow our business, along with an increased sense of urgency. Since I'm an operations guy at heart, I felt it was important for me to visit as many of our facilities as possible to meet with local management teams, get a deeper understanding of their businesses, including the challenges and opportunities of what they will need from me in order to accelerate profitable growth. I've now visited 20 of the 26 domestic operating facilities, and I've been very pleased with what I've seen. We have dedicated, hard-working teams in place at all of our locations, working diligently to meet the needs of our customers each and every day. I also took the opportunity to meet with several of our key customers during my tour and was encouraged by their honest feedback. While we heard of areas to improve our service, there was a lot of conversation centered on how we can provide the support necessary for our customers to grow at a faster pace than the market recovery and to provide them with lower-cost solutions. I'm very excited about several future opportunities that could accelerate our growth over the next few years. These could include: new tooling, new blending techniques and geographic expansion to be closer to our customer facilities. It may also include bundling our products and manufacturing capabilities within this geographic expansion. Many of these opportunities, however, will require additional capital investments, thus increasing the importance of prioritizing capital deployment. The capital requirements of these growth opportunities played a significant part in our recent decision to cease all activities associated with our ERP implementation project, or Project Quest. As you will recall, when we launched Project Nexus 3 years ago, our strategy was to centralize the organization and its systems in order to focus on the 1,000-plus regional window manufacturers, with the intention to cross-sell our vinyl profiles, screens, thresholds and window grills to the same customers we were selling warm edge spacer to. To efficiently manage the business associated with those 1,000-plus customers across 3 distinct divisions, now 4, with the addition of Aluminite, we determined that we needed a technology platform that could standardize all of our systems and processes across the company. And as a result, we embarked upon Project Quest. I, along with the full board, believe this was the right strategy at the time. But now, with 3 years of experience behind us, it is clear that while centralizing sales and marketing and some of the back office functions was absolutely the right thing to do, implementing a single corporate-wide manufacturing system has turned out to be significantly more expensive and complex than anticipated, and is no longer as necessary as originally contemplated. While we've had some success at growing our regional business, it is now clear that a much larger opportunity is available by partnering with the top 50 window manufacturers. These top 50 window manufacturers account for approximately 70% of current EPG sales and account for an estimated 85% of all windows shipped in North America. In almost every case, each one of these customers buys large quantities of one of our products and very few of the others. To be clear, this is not a change in strategy. It is a shift in focus from trying to cross-sell over 1,000 regional customers to cross-selling 50 national customers who collectively are growing at a faster rate than -- as the housing recovery takes hold. This approach will allow us to centralize our manufacturing systems on a division-wide basis at a far lower cost, freeing up capital to invest in growth projects with higher paybacks. This was neither an easy decision nor one that was made lightly, but we believe it is the best decision for the business going forward. I'm now going to turn the call over to Brent who will take you through the financials, after which, I will have some concluding remarks. Brent?
Brent L. Korb: Thank you, Bill. And thank you to everyone on today's call. Consolidated third quarter net sales increased 9% to $259 million, while net income increased to $5 million, or $0.13 per share, compared to $1.5 million, or $0.04 per share, last year. The improved results were due to higher sales across all divisions within EPG and cost savings associated with the IG facility consolidation, partially offset by higher centralization in ERP implementation costs. Both net sales and net income results were in line with the second half 2013 guidance we've provided at the end of our fiscal second quarter. Consolidated EBITDA was $19.3 million, compared to $10.6 million in the year-ago quarter. At EPG, EBITDA increased to $26.6 million from $20 million in the year-ago quarter. At Nichols, EBITDA results improved to $1.3 million, compared to a loss of $1.5 million 1 year ago. Engineered Products ended the third quarter with net sales up, nearly 17%, and EBITDA was up $6.6 million over the year-ago quarter. North American fenestration sales for the last 12 months increased 11.5%, or 3.4% excluding Aluminite revenues. Sales increases were largely driven by the inclusion of Aluminite sales, coupled with good overall performance across the EPG. Nichols net sales for the third quarter were $105 million, a decrease of 1.7% over the third quarter 2012 result, driven by the reduction in global aluminum price. Nichols shipped 77 million pounds, slightly better than the 75 million pounds shipped in the year-ago quarter. Market demand for aluminum sheet continues to be good, although demand mix for more mill-finished products, instead of painted sheet, has negatively impacted our spread. Nichols third quarter 2013 EBITDA was $1.3 million compared to a loss of $1.5 million reported in the year-ago quarter. Spread increased $0.01 to $0.39 per pound in the third quarter, versus $0.38 per pound in the year-ago quarter, but declined sequentially by $0.03 per pound when compared to the second quarter of 2013. The change in product mix, as well as lower spread resulting from low LME prices and higher scrap aluminum prices, continued to challenge Nichols' profitability. The Aluminum Association, which tracks industry shipments of sheet products, reported industry volumes for the 12 months ended July 2013 increased less than 1%, while Nichols shipments increased 16.5%. Corporate expenses increased $2.6 million to $11 million this quarter, compared to $8.4 million in the year-ago quarter. The higher expenses were primarily driven by higher ERP costs of $2 million, including $1.7 million of higher ERP-related depreciation and IT-related infrastructure costs of $1.1 million, offset by $600,000 of lower stock-based compensation expense. Total ERP-related spending in the third quarter was $2.7 million compared to $5.5 million in the year ago-quarter. Year-to-date, we have achieved $6.2 million in IG facility consolidation savings, and with planned volume, are confident we will achieve the projected $8 million cost savings in fiscal year 2013. As previously disclosed, in August, we made a decision to stop the.ERP implementation effort. Our third party implementation partners have been notified, and by the end of September, all external ERP consulting expenditures will have ceased. It is our goal to move off of SAP and back to our old systems as quickly as possible, not to exceed more than 6 months. Our centralized human resource and payroll processing will remain on the new system. We expect to accelerate the depreciation on approximately $19 million of previously capitalized costs from now until when we complete the transition off of the new system. During the quarter, we repaid $10 million borrowed against the revolving credit facility in the first half of the year. At the end of the quarter, we had $16 million of cash on hand and no outstanding borrowings on our revolving credit facility. We expect to continue to grow our cash position through our fiscal year end, as the third and fourth quarters are typically our strongest cash-generation periods of the year. I'll now turn the call back to Bill.
William C. Griffiths: Thanks, Brent. As you just heard, while our total EPG sales were up a healthy 17% year-over-year, much of this was due to the addition of Aluminite. Excluding this, our North American fenestration sales for the last 12 months were up only 3.4% compared to 10% of window shipments in the same period according to Ducker Worldwide. The 10% increase in window shipments is driven by 3 elements: a 26% increase in multi-family starts; a 20% increase in single family starts; and a 1.3% increase in repair and remodeling. As you know, our product offering is the strongest in highly energy-efficient window components, which are typically found in higher price point windows. These components are particularly suited to the repair and remodeling segment, which unfortunately is still recovering at a sluggish pace. The high-growth new construction markets, both single and multifamily, are generally using lower price point windows, where our current offerings are more limited. Some of the growth opportunities requiring capital, that I talked about earlier, revolve around providing lower-cost components to some of our key customers to satisfy this increase in demand. There is no doubt that the housing recovery is well underway, but it will continue to be led by tight construction costs and, therefore, lower price point windows. We will be accelerating our efforts to participate more fully in this segment, which is growing the fastest. Repair and remodeling, which is our sweet spot, is expected to recover last and at a slower pace. We are already well-positioned in this segment. Internationally, despite tough economic conditions in Europe, we continue to see good growth prospects for our warm edge spacer, and the third IG line in our German facility is now fully operational to help us meet that demand. At Nichols, I continue to be encouraged by the progress the team is making. We continue to see improvements in productivity, on-time deliveries and overall customer satisfaction. Notwithstanding this, however, we continue to be challenged by severe headwinds in the global aluminum markets. Low LME prices, coupled with high scrap prices, continue to pressure net spreads. While a minor improvement from near-record lows is possible in the next few quarters, a meaningful, material recovery in net spreads does not appear likely in the foreseeable future. And finally, a comment on corporate costs. Much of the increase in corporate costs over the past 3 years has been driven by our centralization efforts, and much of that, driven by Project Quest. Accordingly, these costs will decrease next year. We are currently deep into our 2014 budgeting process and major revisions are underway in light of the Project Quest decision. Until this body of work is complete, we do not plan on commenting on future projections. We will, however, provide clarity as soon as our 2014 operating plans are finalized. But in any case, no later than our December earnings call. And with that, we'd be happy to take your questions.
Operator: [Operator Instructions] Our first question comes from Daniel Moore with CJS Securities.
Daniel Moore - CJS Securities, Inc.: Bill, you talked about the decision to terminate the ERP implementation driven by multiple organic growth opportunities that were not available in 2010. You touched on, just most recently in your comments, some of those. Can you elaborate a little bit what's changed in the marketplace and what are the opportunities that are available to you now that you didn't see at that point?
William C. Griffiths: I think the biggest overall change is that we now have a housing recovery underway, which, of course, was not the case when this decision was taken. And I think, very clearly now, we see perhaps a different housing recovery than might have been originally envisioned. Construction costs are tight, lower price points and definitely lower price point windows. And we're seeing significant growth from the major window suppliers, as I've said, the top 50, and hence, the shift in focus.
Daniel Moore - CJS Securities, Inc.: That's helpful. And switching gears a little bit, regarding Nichols, your predecessor was fairly adamant that operations needed to be fixed and significant investment will be needed in order to achieve fair value for Nichols over the long term. After looking for a couple of months, does Nichols fit your strategic vision and do you see significant investment required, or might you consider a sort of strategic alternative sooner rather than later?
William C. Griffiths: I think it's fair to say that, operationally, the team there has done an outstanding job in the past year. And while, even they would admit, there are still opportunities for further internal improvement, and they expect to get some of those improvements here as we enter our next fiscal year. It is fair to say that, operationally, Nichols is running almost as well as it has ever done in its recent history. Clearly, the market conditions are extremely difficult and that is definitely impacting its profitability. Obviously, after 60 days, there's been a lot on the plate, particularly with respect to Project Quest and the fact that there are some major revisions to our budgeting process as we go into 2014. So it's a little premature to count -- to comment on strategic alternatives for Nichols. As we go to the budgeting process, I think we'll have a clearer view as to what the team can do internally and a clearer view as to what may be happening to the aluminum market externally as we go -- as we get into 2014, and then we'll make the appropriate decisions accordingly when we get better information.
Daniel Moore - CJS Securities, Inc.: Maybe one more and I'll jump back in the queue. Over the last quarter, you mentioned the competitive landscape in the EPG seeing a little bit more pricing pressure. Is that still the case? And if so, there's a bit more pricing pressure competition in the lower end of the market, what does that imply for returns on capital if you are intent to increase investment and focus more on the lower end of the market going forward?
William C. Griffiths: The pricing pressure is clearly coming from customers who need to put lower price point windows out to their customers in turn. It's our job to be able to satisfy those lower-cost price points and still protect the margins that we have enjoyed. I do think there are structural costs that can be taken out of the system, but it will require capital investment. For instance, as an example, we have very high freight costs because we're shipping great distances. If we had facilities closer to our customers' operations, we can take structural cost out of the system. So my expectation is, as we get into our fiscal 2014, we will be working very hard to ensure that we satisfy our customers' pricing demands, but protect our margins as we go forward through operational improvements.
Operator: Our next question comes from Peter Lisnic with Robert W. Baird.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: I guess the -- just to continue on the repair and remodel piece of the business, it looks as though that's where some of the demand pressure is, or at least growth not as strong. But it doesn't seem to square all that well with -- at least with some of the publicly traded companies have said about their windows businesses. So is that a function where you've been focused more on the regionals and, thus, haven't been able to capture some of that share that the top 50 are playing and, thus, the strategic change? Or is there something else there that is impacting repair & remodel relative to what we might be seeing from some of the larger OEMs?
William C. Griffiths: I don't have statistics in front of me that detail exactly the growth in each of the segments. But it's very clear that the high growth is in the new construction markets, and it is at lower price point windows. And that's where we're feeling the pressure.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Okay. All right. Is it -- when you look at that top 50 group of customers today, versus maybe 1 year ago, or 3 years ago, 5 years ago, is your share state been stable? Improved? Have you had some share erode there? Can you give us a feel for kind of the presence you have with those customers?
William C. Griffiths: I think, collectively -- and the emphasis on collectively, that the share has not changed significantly. What we are seeing, obviously, is within that group of 50 is, while some customers are growing at a very rapid rate, some of them are actually still, in fact, shrinking. So our share amongst individual customers may, in fact, move around somewhat. But collectively, the group has remained reasonably stable. It's really an opportunity that we don't want to miss as the housing recovery -- I mean, clearly, the recovery is underway. But it's being sort of stutter step as we're going through the summer here and there's still an awful lot of runway left in the housing recovery, and we clearly do not want to miss the opportunity by not being sufficiently well-positioned to grab the highest growth opportunity, which is clearly within that top 50 group.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Okay. All right. That helps. And then just on some of these new growth opportunities that you have, realizing that you're not going to give a whole lot of color on '14 until the plan is complete. But I'm just wondering, as you kind of look forward to some of the capital investment you need make here, should we think about the cash that you're going to need to fund that growth as being more significant than maybe what we've been seeing over the past couple of years? So if CapEx last year was, whatever, $40-some-odd million and maybe the -- it was running at a similar clip this year, is that a -- kind of a fair bogey to think about, even though there is, what appears to be, a pretty material change in the strategic operations here?
William C. Griffiths: It could -- we -- I would expect to see higher capital investment numbers within the EPG group and some of that capital deployment could, in fact, take the form of acquisitions. So when I talk about capital deployment, I'm actually talking about 2 forms of it, some of which may be acquisitions, some may be increased capital expenditures. But as you say, clearly, it's a significant part of the operating budget discussions that we're in the thick of right now. And we will give color on that as soon as that process is completed, either through a separate investor presentation or, as I say, no later than the earnings call in December.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Okay. All right. Fair enough. And then last question, if I could. On the selling organization, you had that -- essentially geared up to serve the regional window OEMs. Is it -- is the structure that you have in place, from a selling and marketing standpoint, any significant changes need to be made there to focus on the top 50 and any significant incremental cost, or are you pretty well set from that standpoint to address the top 50...
William C. Griffiths: We are absolutely set there. And in fact, of the centralization efforts, that clearly was the right thing to do. It has been tweaked over the 3-year period since it started. It is in great shape. And it sort of raises a point that I want to emphasize, and that is, the 2 elements of this are not mutually exclusive. Which is why I said, it's not a change in strategy, it's a shift in focus. That organization is still geared to serve the 1,000-plus regionals, but is also geared to better serve the top 50. And we will continue to do both, but the emphasis will be on the big nationals.
Operator: Our next question comes from Scott Levine with Imperial Capital.
Scott Justin Levine - Imperial Capital, LLC, Research Division: Hoping for a little bit more color on how you view the balance sheet. I can appreciate that you don't have many specifics by way of the magnitude of investment. But I mean, do you have maybe a bigger picture parameters in terms of your willingness to lever up to fund these investments, and to what extent? And maybe thoughts on how the dividend factors into the capital deployment plan with what seemingly is a greater focus on growth investments internal and external as we head into fiscal '14.
William C. Griffiths: I think, all I'll say is that I see no reason that we couldn't satisfy most of the internal capital investments from cash generated out of operations. Clearly, I think there are opportunities for some targeted acquisitions. It may not be possible to fund those simultaneously out of cash from operations. So we may need to, at some time, take on some debt, at least for a period of time. But that's, by no means, certain at this point. Clearly, we have the capability. We have demonstrated, over a long period of time, we're very conservative when it comes to balance sheet management. I think having no debt at all in this environment is ultraconservative, but by no means will we swing the pendulum in the opposite direction. That will not happen.
Scott Justin Levine - Imperial Capital, LLC, Research Division: Understood. And maybe as a final point question, I guess, obviously, you've been very busy here over the last few months, but anything you learned as you kind of met with the regional offices that surprised you in any way, or changed your view of priorities versus your tenure when you were on the board and, obviously, not as active in meeting with folks in this field? Any surprises or changes in thought process in your part over the last few months?
William C. Griffiths: I think the biggest is that the number of opportunities to grow and grow profitably are actually greater than I thought they were when I was a board member, and, hence, some of these shifts in focus to really get off after those with the greater sense of urgency. There were no negative surprises, whatsoever. But I would have to say, the biggest positive surprise is clearly that the level of opportunity out there was greater than I first thought.
Scott Justin Levine - Imperial Capital, LLC, Research Division: Got it. One last one, if I may. The assumption of guidance in the release, I'm not sure if you addressed this during the call, but can we assume that the prior 2H guidance put [ph] for the 3Q result is in effect, or should we consider that as being withdrawn at this point or still intact?
William C. Griffiths: Yes. Excluding corporate, which of course is going to get adjusted with the accelerated depreciation and because we're not sure exactly the timing of that. But other than that, generally speaking, that guidance is good.
Operator: Our next question comes from Robert Marshall with Davenport.
Robert R. Marshall - Davenport & Company, LLC, Research Division: I hate to beat a dead horse here, but just touching on the R&R space again. You've got a low-angle recovery here. You've got repair and replacement dollars tied to the consumer level. Is that more needed over and above lower price points here from the OEMs? Is there a lack of credit impacting things or reluctance to take on credit? I'd like to hear your thoughts on that.
William C. Griffiths: I think you can go to the home builders. What is impacting the type of windows that's installed is -- clearly, highly energy-efficient windows and high price point windows go into the custom-built market much more than into the track built market. I think the custom builders and the small private builders are struggling to get financing, struggling to get land. And so I think at that end of the housing market, the growth is a lot more limited than it is with the big publics who are trying to keep their cost tightly under control and are therefore trying to put in lower price point componentry into the house. And I think it's fair to say that, for most of us, windows unfortunately, we tend not to pay a great deal of attention to. You go to a new home, look to buy a new home, typically, the kitchen, the bathroom are focal points and nobody pays a great deal of attention to the level of windows that's in the home. So I think that's impacting it from that standpoint, if that helps.
Robert R. Marshall - Davenport & Company, LLC, Research Division: Yes, it does. And in terms of kind of shifting back to the OEM, does that put margins in peril? I mean, you're going to have a pretty high customer concentration, that they're tough to deal with. I mean, do you worry about that?
William C. Griffiths: You know what, the truth of the matter is, we've actually been in that position for a while. And yes, it is difficult. But by the same token, when you're dealing with large organizations like this, I use the analogy of the automotive sector, which sometimes isn't a greater example. But you're dealing with a very sophisticated customer who has a clear understanding that getting a lower price point doesn't necessarily mean just sliding margin across the table. And we've had some meaningful discussions about taking structural cost out of the system, which is really what the automotive guys did with their largest suppliers back in late '90s. So I think if we can enter into some stronger partnerships with those customers to collectively take cost out of the system. And a big part of that is colocating facilities, or at least putting manufacturing capability closer to our major customer sites.
Robert R. Marshall - Davenport & Company, LLC, Research Division: And last question here, on the aluminum side. I mean, looking out 5 years, other producers are going to be shifting capacity towards the automotive segment, to the CAPA standards. I mean, have you looked at kind of ancillary opportunities that might be popping up here over the next few years, and do you see anything that looks particularly exciting?
William C. Griffiths: Actually, we have not, at this point. In the initial period of time, the focus has really been on what the opportunities are for growth in EPG and what are the short-term opportunities to continue to get operational improvements out of Nichols while we're under severe spread pressure. I can assure you though that we will be looking here after the budgeting process at sort of some longer-term opportunities or challenges at Nichols.
Operator: Our next question comes from Phil Gibbs with KeyBanc Capital Markets.
Philip Gibbs - KeyBanc Capital Markets Inc., Research Division: My question was largely on the dichotomy that you're seeing between the high end to low end of the window market. I mean, you've clearly discussed the differences there. I have thought that the Project Nexus initiative, taken a couple of years ago, were designed to help you get growth in excess of what you might have seen at this point. How are those going? Are you having any traction with the regionals? Because I would've expected growth for you guys to be better given the fact that those initiatives were put in place a couple of years ago.
William C. Griffiths: Yes, that's exactly why the shift in focus. I mean, clearly, we are underperforming to those expectations, which is why -- and I think one of the reasons for that is the growth is coming much faster in an area where we do not have the strongest product offering. It's our job to get that fixed. Yes, your observation is correct.
Philip Gibbs - KeyBanc Capital Markets Inc., Research Division: Were the regionals targeted in the Project Nexus initiative designed to get you more into that low end of the market or mid end of the market? I was under the impression that, that was -- it still on the high end?
William C. Griffiths: No, it was still on the high end.
Philip Gibbs - KeyBanc Capital Markets Inc., Research Division: Okay. Well, that makes a lot more sense. I appreciate that. And then just lastly, if I could. On the acquisitions front, what should we be expecting sort of from you guys as far as potential targets to fit in some core competencies or be adjacencies to what you're currently doing?
William C. Griffiths: What I'm -- I'm currently getting the organization focused in a much more laser-like way adding to our current core competencies. So that is a pretty limited list that we're in the process of working our way through. At this point, unless an opportunity arises that we can't say no to, we will not be focusing on adjacencies. But be prepared to have a change in view if there's not enough opportunity for us in our direct core competency. But I think, let's go for a couple of quarters exploring that more aggressively. But I think the expectation should be we're going to focus very, very strongly on what we currently do, as opposed to something out of the box.
Operator: Our next question comes from John Koller with Oppenheimer & Close.
John Jay Koller - Oppenheimer & Close, Inc.: Quick question on capacity utilization at EPG. Is there...
William C. Griffiths: Sure. Oh, a number?
John Jay Koller - Oppenheimer & Close, Inc.: Yes, please.
William C. Griffiths: I do not have a number. I'm not sure whether that's something that we'd normally publish. If it is, we'll be happy to get back to you separately. I don't have an answer right now, though. But we're not up against the capacity threshold, that's for sure.
John Jay Koller - Oppenheimer & Close, Inc.: Right. On the geographic expansion, do you have the capability to move existing tools or adapt them in some way to meet some of those opportunities that you mentioned earlier?
William C. Griffiths: Yes, we do. And that is a potential consideration.
John Jay Koller - Oppenheimer & Close, Inc.: Okay. And then on the Aluminite acquisition, that was completed. And I'm assuming that everything that's going on there is as expected.
William C. Griffiths: Yes, that is going very well. And of course, their business model is to be located very close to their customer with very, very short lead times. In fact, in most cases, measured in hours, not days or weeks. And it's a business model that, I think, could work extremely well in other facets of our business. So standby for further announcements on that front.
John Jay Koller - Oppenheimer & Close, Inc.: Okay, great. And then on the Nichols and the mix shift within Nichols. The paint -- all of the ovens and everything within Nichols are functioning and are up, so it's more of a customer demand than a downtime of capacity?
William C. Griffiths: That's absolutely correct. The Alabama facility, where we just put the new oven in, is now up and running with no unexpected issues.
Operator: Our next question comes from Bob Kelly with Sidoti.
Robert J. Kelly - Sidoti & Company, LLC: A question on -- you'd made an answer earlier to the second half's fiscal '13 operational guidance. Was that in respect to both Engineered Products and Nichols, or just on the Engineered Products side?
William C. Griffiths: Both.
Robert J. Kelly - Sidoti & Company, LLC: Okay. So the original guidance was for $3.5 million for Nichols for the second half, why do we have to earn $4 million in 4Q and spreads aren't going to recover materially? I'm just trying to reconcile. Are shipments heavily weighted toward 4Q?
Brent L. Korb: We are expecting a lift in shipments in the fourth quarter, yes.
Robert J. Kelly - Sidoti & Company, LLC: Okay. So up sequentially from where we were in 3Q on the current front?
Brent L. Korb: Correct. Yes.
Robert J. Kelly - Sidoti & Company, LLC: And spreads similar or improving from where we were running in 3Q?
Brent L. Korb: I think Bill mentioned a little bit in his talk a slight improvement in spreads expected in the fourth quarter.
Robert J. Kelly - Sidoti & Company, LLC: Okay. So the rest of it, the increase is coming from just productivity and getting Alabama squared away?
Brent L. Korb: Yes, I think that's fair.
Robert J. Kelly - Sidoti & Company, LLC: Okay. On the Engineered Products side, even with the IG facility cost savings, the incremental margins have been somewhat below where you guys have been historically. And I realize you have Aluminite in there probably driving it down a little bit. But my question is, if you're going to start SKU-ing towards the lower end of the window market, what should we expect out of Engineered Products' incremental, margin-wise, over the next maybe 2 to 3 years?
Brent L. Korb: Yes. So I mean, Bob, as you know, we haven't talked about sort of what the incremental margin is. But I think it's safe to say what those alluded to is our objective in trying to meet the demand that exists at that lower end is not to just offer the same products at a lower price. So it's to find other ways to take cost out of our system to be able to offer that, to try to enjoy similar margins to what we do today. There might be similar margins on a lower price point, but that sets our objective here in the short term on how to achieve that.
William C. Griffiths: It is possible that for a short period of time, our cost savings will be out-of-phase with our pricing. So we could see additional margin pressure over a short period of time. Over a longer period, full year and beyond, my expectation is that we will not see margin erosion.
Robert J. Kelly - Sidoti & Company, LLC: Okay. And then just one kind of like big picture question. I mean, the way I've always understood Engineered Products is that you're basically outsourcing your engineering capabilities to the window and door world. If you would target the low end of the market, how do you do that? I mean, how do you take that kind of core competency of Quanex and pass that to the low end of the market?
William C. Griffiths: I think at the low end of the market, the engineering content tends to be lower and not as significant. And I think it's -- the way to think about it is good, better, best, we do well and better, best. Good has a different set of characteristics, not as engineering intensive, not as complex. And there are some other factors there and partnerships with customers, fewer stock keeping units. All of which allow you to reduce cost and still maintain a healthy margin for passing those cost savings on or at a lower price point to the end user. I think it is possible to play in both ends of the market. But as Brent said, what you cannot do is offer the same product and the same services at a lower price.
Robert J. Kelly - Sidoti & Company, LLC: Okay, I understand. And then just one final one, the top 50 was 70% of Engineered Products sales and then 85% of all U.S. window shipments, was that the data that you'd given?
William C. Griffiths: That is correct.
Robert J. Kelly - Sidoti & Company, LLC: And you are -- you have a presence now with the top 50, but you're not selling all of your products to them?
William C. Griffiths: That is correct.
Robert J. Kelly - Sidoti & Company, LLC: And so now, what are you selling to the top 50, predominantly?
William C. Griffiths: Well, no -- it depends. It varies all over the place. That's the -- that the issue is, each one of them, as a general statement, buy significant quantities of one product. It may be grills in one case. It may be spacer in another case. So it's all over the map. But the key point is they buy one, not all. So it's a different solution with each customer. But clearly, the problem is a lot easier to manage because you're dealing with a handful as opposed to a multitude.
Operator: Our next question comes from Al Kaschalk with Wedbush.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Just a clarification question on aluminum. Is the customer demand in closing the mix, is that something transitional or seasonal? Just to have a better appreciation of maybe what's changed short term.
Brent L. Korb: Yes, I don't want to account to the seasonal, I think there's a couple of things going on. Just overall, reduction in demand and where you see it tended to be more in the painted product, that's a portion of it. So the reduction in the housing market over the years tends to drive a lot of that painted product. As well as there are both -- there is a bit of our customers that have their own paint line. So when you get down to lower level of demand, they're able to paint their own product. And part of it is also just internally driven. We've hurt ourselves, over the last 12, 24 months in lower-quality products going out the door, so we've lost some of that share. And the objective now, with the oven in Alabama back up, is to prove to the market that we're making good painted products out of there and recovering some of that share.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Those painted products have a customer characterization, meaning, good, better, best, or top 50, top 1,000?
Brent L. Korb: I mean, it's harder to really to put it into that characteristic. I mean, it's still a commodity with a coding on it.
Albert Leo Kaschalk - Wedbush Securities Inc., Research Division: Very good. And then my follow-up question, maybe, Bill, when you look at what you I think you're alluding to here is obviously not having product at the market -- where the market has moved from the housing perspective. Would you -- do you think culturally the organization is more geared to build on their own product or to acquire their own product? And then secondly, does that have an impact or is that impacted by what you're alluding to on either co-location or better location of where that demand is currently stemming from?
William C. Griffiths: Yes, that actually is a great question, because I think you are right. I wouldn't go so far as to say, culturally, we can't build the product internally. But I think the problem becomes significantly easier if you, perhaps, cull out some lower-end product and locate it elsewhere. So from an internal standpoint, I think that becomes something that's much more doable internally than running it in the same factory as you're running a high-end product, but also you can't rule out a potential acquisition to satisfy that market as well.
Operator: [Operator Instructions] Our next question comes from Keith Hughes with SunTrust.
Judy Merrick: Actually this is Judy in for Keith. And just a follow-up on your earlier comments on the Aluminite acquisition, is there anything that was more positive there that you've seen or was there organic growth where you would invest in more in that business or another acquisition candidate similar to that?
Brent L. Korb: Yes, I think the thing to point out, a lot of what Bill has been talking about, of the lower price points in offering different value. We made screens before, and go back to our analogy, the good, better, best. We provided screens that were in the better, best and we're getting a lot of price pressure to offer those same screens for a lower price. By having now the capabilities in-house, as Aluminite being on the good side, more able to protect both product lines. We can now offer you what is it that you're looking for. If you want a good product that comes with the associated goods services at a good price, then we can offer that to you. So it allows us to protect our stratification, if you will. So that's been very powerful. We've seen a lot of strength and growth at Aluminite and the opportunities of Aluminite, and I think this has shown us what is out there to grow this lower price point across all of our offerings.
Operator: And I'm not showing any further questions at this time. I'd like to turn the conference back over to Mr. Bill Griffiths for closing remarks.
William C. Griffiths: I want to thank everyone for joining us on today's call. But before we wrap up, I'd like to invite you to join us for the 2013 GlassBuild show in Atlanta. It's our single largest trade show of the year and gives us a great opportunity to show off our products, meet with our customers and see what's new in the marketplace. If you are interested in attending the show, which runs next week, from September 10 through the 12, please give Marty a call and he'll provide you with the details. And once again, thanks very much for taking the time this morning to join us. Look forward to meeting many of you in the near future. Thank you.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect, and have a wonderful day.